Operator: Good day, ladies and gentlemen, and welcome to Arrow Electronics, Inc.'s First Quarter 2014 Earnings Conference Call. My name is Patrick, and I will be your moderator for today. [Operator Instructions] As a reminder, this conference is being recorded for replay purposes. I would now like to turn the conference over to Mr. Steve O'Brien, Director of Investor Relations. Please proceed, sir.
Steven O’Brien: Thank you, Patrick, and good day. Welcome to Arrow Electronics first quarter conference call. I'm Steve O'Brien, Director of Arrow's Investor Relations program. I'll be serving as the moderator on today's call. If you'd like to access today's call via webcast, please visit our Investor Relations website at www.arrow.com/investor and click on the webcast icon. With us on the call today are Mike Long, Chairman, President and Chief Executive Officer; Paul Reilly, Executive Vice President, Finance and Operations, and Chief Financial Officer; Andy Bryant, President of Global Enterprise Computing Solutions; and Eric Schuck, President of Global Components. By now, you should have all received a copy of our earnings release. If not, you can access our release on the Investor Relations section of our website, along with the CFO Commentary and the non-GAAP earnings reconciliation for the quarter. Before we get started, I'd like to review Arrow's Safe Harbor statement. Some of the comments made on today's call may include forward-looking statements, including statements addressing future financial results. These statements are subject to a number of risks and uncertainties that could cause actual results or facts to differ materially from such statements for a variety of reasons. Detailed information on these risks is included in Arrow's SEC filings. We will begin with a few minutes of prepared remarks, which will then be followed by a question-and-answer period. I will now hand the call over to our Chairman, President and CEO, Mike Long.
Michael J. Long: Thank you, Steve, and thanks to all of you for taking the time to join us today. We executed well on profitability, cash flow and our returns priorities in the first quarter. And we are encouraged by the early results of our strategic growth investments. The demand environment in our Global Components business matched our expectations as we entered 2014, while the environment for our ECS business was somewhat mixed. Our consolidated sales were $5.1 billion and diluted earnings per share were $1.22. Revenue was slightly below the low end of our guidance, while EPS came in above the midpoint of our guidance range. Operating income and diluted earnings per share advanced 19% and 28%, respectively, year-over-year. Operating margins were up over last year's first quarter in both businesses. Cash generation was, again, strong at $124 million. Return on working capital was at a healthy 24%, also advanced year-over-year. We continue to invest in our business, expanding our line card and geographic footprint, driving the value-added portion of our business and developing solutions that will enable migration to the next-generation data centers. Global components saw revenue advance in line with our expectations and traditional seasonality. Demand, however, strengthened through the quarter. The overall market remains stable, and lead times and cancellation rates are within normal ranges. Our sales of $3.4 billion advanced 7% year-over-year, with double-digit increases in both Europe and Asia. Gross margins expanded in all 3 regions quarter-over-quarter, operating income grew 25% year-over-year, more than 3x our increase in sales. Book-to-bill remained positive at 1.04, up from 1.03 in the fourth quarter of 2013. Arrow's global components business continues to deliver increasing value to both our customers and our suppliers. We're achieving this through our extensive design and engineering capabilities, and leading value-added services. Demand conditions for enterprise computing solutions softened exiting our record fourth quarter of 2013. Sales were flat year-over-year and declined 11% adjusted for acquisitions. We experienced a pause in our hardware business, but our software and security-related businesses were on plan and delivered growth. Growth was also negatively impacted by having 1 fewer shipping day than the fourth quarter. As we look to the second quarter, we're encouraged by this activity levels in April, and we expect sequential growth to be above the traditional range. The Computerlinks integration is also ahead of plan. We continue to move forward in our strategic transformation towards selling a comprehensive solution with focus on the higher-value segment targeted at the data center. We'll balance our initiatives to be more productive with continued investments to accelerate growth in sales. As a matter of course, we'll strive to produce strong financial results independent of the market environment. Paul will now provide an update of our financial results for the first quarter.
Paul J. Reilly: Thanks, Mike. First quarter sales of $5.1 billion were slightly below the low end of our guidance. And adjusted for the impact of acquisitions and changes in foreign currencies, sales declined 1% year-over-year. Global components sales of $3.4 billion increased 7% year-over-year and were at the midpoint of our guidance. For the fourth consecutive quarter, Europe had strong year-over-year sales growth. Europe sales in constant currency advanced 8% year-over-year, and sequentially by 11%, with strong results in central and southern Europe. Sequentially, core sales in Europe are in line with traditional seasonality. Sales in Asia were also strong year-over-year, growing 12%, driven by continued robust growth in China. Core sales in Asia declined 4% quarter-over-quarter, at the upper end of traditional seasonality. In the Americas, our sales were up 1% year-over-year. Americas core sales were down 5% quarter-over-quarter, in line with traditional seasonality. Global components gross profit margins increased in all 3 regions year-over-year. As Mike mentioned, the 7% year-over-year increase in sales, combined with the strengthening gross profit margins, were the principal drivers for the 25% uplift in operating income dollars year-over-year. Global components operating margins of 4.9% increased 70 basis points year-over-year, and we remain on track to achieve our goal of 5% operating margin for 2014. Sales in our enterprise computing solutions business were $1.7 billion. In the Americas, sales declined 10% year-over-year and were below traditional seasonality. In Europe, sales in constant currency advanced 15% year-over-year, primarily due to our acquisition of Computerlinks. Adjusting for the impact of acquisitions, sales in Europe declined 11% year-over-year in constant currency. Recall back to our fourth quarter earnings call in February, when we discussed a number of factors that impact the comparison of our quarterly performance to the overall market. These factors include quarter-end dates, as well as the overall number of shipping days in any given quarter. This is especially true for our enterprise computing business this year. We suggested back then that the evaluation of our ECS business when compared to the market may be better viewed over a 6-month period. On a -- to supplement your analysis, on a combined 6-month basis, so that's Q4 2013 and Q1 2014, our billings grew in a mid-to upper single-digit range year-over-year. Enterprise computing solutions gross margin advanced year-over-year due to a more favorable product mix. Operating income dollars advanced 6% and our operating margin of 4.2% advanced 20 basis points year-over-year. On a consolidated basis, our gross profit margin was 13.8%, that was up approximately 60 basis points year-over-year, principally due to gross profit margin improvement in all 3 regions of global components, and a change product mix within our ECS business. Sequentially, gross profit margins advanced 100 basis points due to the aforementioned factors, as well as a higher seasonal mix of global components sales. Consolidated operating expenses increased 6% year-over-year on an absolute dollar basis, but when adjusted for the impact of acquisitions, in changes and currencies, operating expenses decreased 2% year-over-year. Operating income was $200 million, a 14% increase year-over-year. When adjusted for the impact of acquisitions and changes in foreign currency. Operating margins advanced year-over-year as well, increasing by 50 basis points to 3.9%. Our effective tax rate for the quarter was 27.9%, and net income advanced 20% year-over-year to $124 million. Earnings per share of $1.22 on a diluted basis was above the midpoint of our guidance and advanced 28% year-over-year. Cash generation from operating activities in the first quarter of 2014 was $124 million, and $754 million on a trailing 12-month basis. Return on working capital for the first quarter was 24.2% or up nearly 400 basis points over last year's first quarter. Return on invested capital was 9.3%, again exceeding our weighted average cost of capital, and again, up year-over-year. We repurchased $75 million of our stock in the first quarter of 2014, and the amount remaining under our authorization is $76 million. Our capital priorities remain funding organic growth, strategic and accretive M&A and returning cash to shareholders, all while maintaining an investment-grade rating over the long term. This is a high-level summary of our financial results for the first quarter. For more detail regarding the business unit results, please refer to the CFO Commentary published this morning. Now turning to guidance. We believe that total sales will be between $5.45 billion and $5.85 billion in the second quarter, with global components sales between $3.45 billion and $3.65 billion, and global enterprise computing solutions sales between $2 billion and $2.2 billion. We expect earnings per share on a diluted basis, excluding any charges, to be in the range of $1.35 to $1.47. Our guidance assumes a tax rate in the range of 27% to 29%. Average diluted shares outstanding are expected to be 101 million shares, and the average U.S. dollar-to-euro exchange rate for the first quarter to be $1.38 to EUR 1.
Steven O’Brien: Thank you, Paul. Patrick, please open up the call to questions at this time.
Operator: [Operator Instructions] And our first question comes from the line of Mark Delaney with Goldman Sachs.
Mark Trevor Delaney - Goldman Sachs Group Inc., Research Division: I was hoping, first, that you, guys, could elaborate a little bit more on some of the factors that you think caused the sales weakness within the enterprise computing solutions business. And maybe help us understand to what extent that is just broader weaknesses in some of your customers or have you seen anything from the competitive situation, either in terms of pricing or market share?
Michael J. Long: Thanks, Mark. We actually experienced a slow last week of the March quarter, specifically in North America. We did, however, contrasting that, Mark, see a pickup in April. And that's really been driven by the storage business, as well as proprietary servers which were the weak point in the first quarter. We think there were really 2 things that impacted the quarter. One was really sort of a digestion of what was an exceptionally strong fourth quarter, really, throughout the industry. There was a lot of product that got pushed out. And we believe that there was an anticipation of some product refreshes a little later in 2014, and that slowed things down. We actually see both of these as being transitory rather than permanent. And again, we just point to what we've just seen in the April month.
Mark Trevor Delaney - Goldman Sachs Group Inc., Research Division: That's helpful context. And then for a follow-up question, I was hoping to talk about the margins, which, especially on the gross margin side came in better than I was expecting, in particular, as sales were lower. I know you talked a little bit about mix helping in the quarter and being more favorable. But maybe you can talk about how sustainable some of the margin improvement is, and if and if any of this was underlying improvements that you expect to continue into future quarters?
Michael J. Long: Well, in general, we expect, over time, services and software and security to continue to increase. That has been becoming more and more of an increase in our business. It does drive a different margin profile, one that we like a lot. One that you may get to see, with the covers kind of coming off of the server and the storage business. But I really, as we said before, think the first quarter was a pause in transitory versus those sales going away. So we firmly believe those sales will be back. So that margin will be a little bit muted by what you see in the growth of those products, until we can get to a steady-state where those sales just really outweigh servers on an ongoing basis.
Operator: Your next question comes from the line of Jim Suva with Citi.
Jim Suva - Citigroup Inc, Research Division: A quick clarification. It sounds like you said that you saw a near-term pause at the end of March, and then a re-acceleration at the beginning of April. I just want to make sure I heard that correctly. And is that re-acceleration, April, does that normally happen or was that due to the pause, then, you saw a re-acceleration there so there's less of a concern and it was just a pause without a re-acceleration?
Michael J. Long: Yes, we actually think, Jim, that the acceleration was just the start of a makeup. As we said before, the first quarter, there was a lot of deals in the pipeline that just didn't quite fall within -- in the quarter's time, that really did get pushed out into April. And we believe our guidance reflects the fact that we think that things are still going to be strong. We did see the pause in 2 of our businesses, which was storage and servers. And the way those have come out, we are confident that we'll make that up over the next quarter or so.
Jim Suva - Citigroup Inc, Research Division: Great. And then when we start thinking about the server changes that are happening in the world. Both the sale of the IBM x86 business to Lenovo, but as well as also some of the cloud providers using white box servers. Can you help us understand about what your company's proactively kind of addressing those risks and/or opportunities?
Michael J. Long: Well, sure, and thanks for that. The x86 servers that went to Lenovo make up about 1% of our gross profit. So it's a fairly small amount. Having said that though, we will be continuing to sell those products into the marketplace with Lenovo, and we do have another relationship with them. So we would expect and hope to grow those products in the future. What you saw a little bit this quarter was sort of an acceleration of our services, our software and our security, and we'll continue to beef those up over the next ensuing year or 2. We've been working on this for quite some time. And if you go back, Jim, you won't forget when we were primarily just a server house and these kinds of declines in servers would have really taken us out of business completely. So nothing different than what we saw there. We're increasing our dependence on other products that meet with the marketplace, continuing on with our value-added strategy for the customer, and we believe, higher margins and higher returns for our investors in the future.
Operator: Your next question comes from the line of Shawn Harrison with Longbow Research.
Chris Dankert - Longbow Research LLC: This is Chris Dankert filling in for Shawn. Just kind of want to touch on the strong global components margin. Are you guys expecting that to kind of continue to step up incrementally throughout the year, kind of like what we saw in 2013? Or are you guys expecting that 5% margin to be sustainable once you get there?
Michael J. Long: Well, first off, we do believe we will get to 5% this year, and we continue to make really good progress towards that target. We exited 2013 30 basis points higher than in 2012, and our first quarter operating margin puts that right in our sight. And while we expect to achieve the goal, we don't expect it to be linear. We will expect it to be there, as we said, around the third quarter timeframe, and we still have a little work to do. But all in all, everything is looking good. We are getting the sales increase. We are getting the additional margin on the sales that we were looking for. And it's encouraging that it's coming that way because it shows relative strength in the business versus just continuing to make cuts. So we're pretty positive on that.
Chris Dankert - Longbow Research LLC: Great, that's helpful. And then just kind of as a follow-up. You guys had a really great quarter, free cash flow. I mean, does that change your view on, I believe, you gave guidance for $300 million to $400 million on the year. Has that changed at all?
Michael J. Long: No, I think we still have that in our sights.
Operator: Your next question comes from the line of Brian Alexander with Raymond James.
Brian G. Alexander - Raymond James & Associates, Inc., Research Division: Okay. Maybe going back to ECS. Why do you suppose your revenue growth changed a lot more drastically this quarter than your major hardware vendors? I think they've been seeing soft demand for several quarters, while Arrow has been growing pretty nicely all along. They've been talking about longer sales cycles, probably 4 or 5 quarters. And I guess I'm just struggling to understand why that just impacted you so drastically now, and maybe why they didn't see such a big shift from the March quarter to the June quarter like you did and like your major competitor did?
Michael J. Long: Yes, I think, Brian, timing has an awful lot to do with it. We did experience -- saying that, we did experience a bit of a slowdown in the first quarter. It's not atypical, but it was a little slower than we expected. But we also had an exceptionally strong fourth quarter, if you look back at that. And I think if you just kind of extend the timeframe out, we're probably right in that 7% growth range on those products given the extended period. But we did mention that we were going to have some cutoff issues in the fourth quarter that made fourth quarter strong, and then the first quarter. And I think we just maybe underestimated the timing of those a little bit because again, Brian, we've seen the business start to go again in April.
Brian G. Alexander - Raymond James & Associates, Inc., Research Division: So off of this new June base, would we expect to see normal seasonality in the September and December quarters, or should we expect kind of unusual patterns for the balance of the year? And then I just have one quick follow-up.
Michael J. Long: Yes. Andy, do you want to take that?
Andrew S. Bryant: Brian, it's Andy. So I think as Paul highlighted, you're going to see the last day of June slide into our summer quarter. And then you're going to see 2 days in September actually slide into our fourth quarter, which will, again, have our suppliers closing later than we close. But I think to answer your question, now that we're one quarter into this, it will tend to normalize. And I believe our seasonality will look fairly normal, although I think Q4 could be a little bigger because of those 2 days in September.
Brian G. Alexander - Raymond James & Associates, Inc., Research Division: Okay, then, Paul, just a quick one for the balance sheet on DSOs. They've been rising, I think, for the last several quarters. And if I look at this quarter, by my calculation, you're in the upper 80 days, versus, historically, you've been high-60s up to mid-70s. So can you just kind of walk us through or talk about why the DSOs have been consistently rising? How much of that is mix, services, et cetera?
Paul J. Reilly: Sure. Brian, what we're seeing in the ECS business is a greater growth in product sets like services and parts of software that we record the revenue on a net basis. So effectively, the only thing that hits the revenue line is the GP. But conversely, the entire receivable, the entire sales price hits accounts receivable. So as a result, we are getting full-bore receivable and less in the way of sales. And that's distorting that -- the DSO calculation. When we track it on a billings basis, we see that the DSO has changed by about 1 day in the first quarter 2014 compared to the first quarter of 2013. So we don't see that as a major issue for us at this point in time. And I guess I kind of look at it, and if I try to rationalize that because, okay, I understand the calculation, I look at the substantial performance that we've had in cash flow generation, right? So we look at cash flow from a trailing 12-month basis, over $750 million at 175% of our GAAP net income. I don't see that as a challenge for us. I kind -- that's kind of the "proof is in the pudding" statement that our cash flow has been robust, and we really haven't changed dramatically our inventory levels. So I kind of look at that all overall and say it kind of makes sense that this -- a change in mix is impacting it more than anything else. For sure, we do track it on a gross and a net basis, and for sure, we track it by business segment and by geo, to ensure that both as an offensive tool, we're using our strong balance sheet to go out and get good profitable market share, but also to ensure that we're not getting at a balance on risk.
Operator: Your next question comes from the line of Will Stein with SunTrust.
Josh Large - SunTrust Robinson Humphrey, Inc., Research Division: This is Josh Large on for Will. Just the first question. In regards to component margins, they've been tracking a lot higher. Can you kind of help us understand what the biggest lever is to hit your 5% target this year, is it efficiency initiatives, revenue growth or mix?
Michael J. Long: Yes. Short answer to your question. We've been working on the margin piece of the business really since the downturn. And as the business has been strengthening, so is our gross margin percentage, largely due to the work that we do through design win, that type of thing. And that's been a steady increase for us over the last few quarters. The same thing goes, we really worked hard on some initiatives to get the productivity up in Europe and North America over the last year. And at this point, we think we're in a position that it's really sales and gross margin, right now, given where the market is and how we see the market playing out. Our backlogs are some of the highest that they've been in a long time. And the bookings continue to come in, as we said, 1.04 for the first quarter. So I think that gives us relative strength and doesn't really cause us to think about making huge cost cuts in the near term.
Josh Large - SunTrust Robinson Humphrey, Inc., Research Division: Okay. Can you also comment on the impact on your business from the change in distribution from one of your largest semi suppliers?
Michael J. Long: 0.
Operator: Your next question comes from the line of Sherri Scribner with Deutsche Bank.
Joakim Mahlberg - Deutsche Bank AG, Research Division: This is Joakim Mahlberg calling in for Sherri. I wonder if you can provide some color on the relative strength in Europe and Asia-Pac relative to the U.S. market. I was surprised to hear your comments on the callout, southern Europe being an area of strength.
Michael J. Long: Well, just to -- I'll start and then we'll let Paul and Andy or Eric weigh in if they see. There's been an awful lot of work by us in Europe over the last couple of years. And don't forget, we installed a new ERP system there that really takes its toll a little bit on the business as that goes in. Europe being the biggest region that had something like 5 computer systems consolidate to 1. So we had a little bit of an internal focus. Since then, the business has strengthened tremendously. They have grown their sales faster than market. And the customers are getting good service, so I expect that, that will continue on. That's one of our benefits on top of what we see as a strengthening market there. And Paul, would you like to add to it?
Paul J. Reilly: Sure. Just keep in mind that last year, we had a very aggressive cost-reduction program. And you may recall, from a timing point of view, we talked about in September that we exceeded the target. And then recall that in February, we talked about the fact that we took that excess and began to invest that in sales and engineering support in the fourth quarter of last year, as well as in the first quarter this year and it continues. So I'd like to think that, that strategic change we made, as opposed to having it all drop to the bottom line, but instead investing. And those folks that generate revenues is what's really driving the upward performance, both Europe and Asia. We put quite a few people into Asia, but we also put people into central Europe, which is a great business for us. And then as a knock-on to Mike's point, we spent lot of time getting the system in the southern Europe in the first quarter last year, and now we're reaping the benefits of that also.
Joakim Mahlberg - Deutsche Bank AG, Research Division: That's helpful. Can you remind us about the amounts you have remaining in your buyback authority, and with the relatively good cash flow numbers, what are strategic priorities between M&A and shareholder returns?
Paul J. Reilly: Sure, I think, the authorization has about $75 million to go. And prioritization is always organic investment. And then a strategic M&A that creates shareholder value. And then returning cash to investors is the third one.
Operator: Your next question comes from the line of Matt Sheerin with Stifel, Nicolaus.
Matthew Sheerin - Stifel, Nicolaus & Company, Incorporated, Research Division: Just to go back to the issue of gross margin in your components business. You said it was up in all 3 regions. And Mike, I know you talked about demand creation certainly being one benefit. But I know also, in an environment with pretty short lead times, which we're still in, there's still pricing pressure for kind of jump-ball type of business. Are you continuing to see that or are you trying to be more selective or seeing competitors be more disciplined on the pricing front?
Michael J. Long: I would say, Matt, that, in general, the team has gotten really focused on who our customers are and less concerned with the bluebirds that may come in that are lower-margin activities. The team's overall year-over-year right now increase in registration was up about 8%, which is a nice increase year-on-year. That signals that there's more to come. Eric and the team, I'll let him talk about the PEMCO initiative. Those are higher-margin products. And they've made some pretty good progress on that over the course of the year. And customer base expansion has still been under way, especially in China, and that's certainly helped that market also increase its margin. So it's been a lot of work, but it's been a lot of focus, and I think we're going to enjoy the rewards of that over the next year or 2. Eric, you want to add to it?
Eric Schuck: So it's Eric Schuck. As Mike pointed out, part of that is driven by product mix. He talked about the increase in demand creation activity, which was up 8% year-on-year. In the fourth quarter, we saw it up 7% year-on-year. So we continue to see improvement in the demand creation activities of the team. The increases that we saw in margins in Q1 were broad-based. As was pointed out earlier, we saw year-on-year and quarter-on-quarter improvements in our core business in all 3 regions. And the team's performed well in managing the margins and the operational efficiencies, and we'll continue to focus on both customers and technology in terms of continuing that trend moving forward.
Michael J. Long: Matt, another item for you. If you remember, when we were installing UNITY in Europe, we had trouble because we had 5 buckets of inventory. So our buying habits and things like that weren't necessarily the same across the region. And since we've gone to 1 system, that team has figured out how to use that, and that's actually helped them to propel their margins in Europe, which is another reason we've seen a nice uplift there. And we would expect that to continue through the other regions as well. But that was a big learning from the team and also a benefit.
Matthew Sheerin - Stifel, Nicolaus & Company, Incorporated, Research Division: That's very helpful, Mike. And could you remind us what's left in terms of the IT integration. I think you still have North America left, right, and Asia?
Michael J. Long: Right, Asia has been done. I'm happy to say that Asia, so far, was our best conversion. And what I mean by that was that it was the most seamless to all of us, and one that the team did an excellent job on. We have not seen, knock on wood, any problems of substance surface from that integration, which gives us a lot of confidence as we start to prepare for North America. North America will be the last one, and I think I'll probably throw a party for you, every investor and every customer on the day that, that happens because it's been a long haul.
Matthew Sheerin - Stifel, Nicolaus & Company, Incorporated, Research Division: Yes, indeed. And just lastly for me. Just to ask the question around the revenue growth and revenue expectations on the computing side. I know that the seasonality seems somewhat volatile now. But looking at the year, are you confident that on an organic basis, you can actually grow the business? And then looking at operating margin, do you think you can at least be sort of flattish on operating margin for the year?
Michael J. Long: Fully confident, and I won't be happy with Andy or the team if we're only flat on operating margin.
Operator: Your next question comes from the line of Amitabh Passi with UBS.
Amitabh Passi - UBS Investment Bank, Research Division: Mike, my first question was -- and I apologize if you covered this. I didn't quite hear your answer. Just on components in the Americas, you've had 2 years of sort of negative growth. And then, if I look at fiscal '12, fiscal '13, and we're kind of just modestly growing. Just want to understand why do you think that's the case. It seems like most indicators are sort of moving up into the right. So that was my first question. And then I had a follow-up as well.
Michael J. Long: Yes, I would say that we're actually expecting North America to grow. And one of the reasons is really around the design win registrations. When you go into a down market, typically North America is one of the leaders for designs and new products coming out. And this has been a trend that we have now seen over and over and over, that when the market starts to go stale, the design activity starts to go down and you don't see anything really new coming out, and people are sort of shipping the old products which start to deplete before the new ones come out. We've now seen a couple of really good quarters for increased design registration, and we've also seen an increase in backlog. So those 2 things, coupled with the book-to-bill, tell us that there should likely be some growth in North America this year, better than what we've certainly seen or has been lacking. And by the way, talk about growth, you're talking about 0.1 GDP in the first quarter. So maybe you guys could tell me what's wrong with the economy. Because I need a GDP of something to generate some growth out there.
Amitabh Passi - UBS Investment Bank, Research Division: Right. That's fair. And then, Paul, maybe just a clarification. On the OpEx for the June quarter, how should we be thinking about that? And then, can you remind me if there were any other restructuring activities that still need to flow through your P&L?
Paul J. Reilly: Yes, for the most part, the restructuring efforts are behind us. We're focused more on investing in the business and sales and engineering to drive GP as we go forward. So that's really what we're focusing on now as we turn our attention to running the business or driving the business. So couple of things that do impact the expense load in the second quarter compared to the first quarter is the pace of investments we're making. And we're not really going to quantify what that may be. But there will be an uplift in expense. We expect some of those investments we've made in Q4 and Q1 to accelerate and pay for those. So just keep that in mind. We expect that there will be an uplift in -- because of currency rate changes and the variable cost of about $10 million. Keep in mind that FX had a negative impact on expenses, a positive impact on GP dollars. We'll see some incremental expense around the ERP rollout that Mike referenced in Asia that kicked off in the beginning of April. So we're 30 days in, but that will carry a heavier depreciation load. And we do expect to see some increased expenses as we give merit raises to our employee base. So I would expect an uplift in expense in the second quarter compared to the first quarter, and that we'll see more robust GP delivery also.
Operator: Your next question comes from the line of Steven Fox with Cross Research.
Steven Bryant Fox - Cross Research LLC: Just 2 questions for me. First of all, in terms of -- you've given a lot of sort of positive metrics on what's going on in your components business. But lead times, it sounds like haven't really changed much. So it sounds like a hand-to-mouth environment still. What is needed to change that, given that you're experiencing sales growth? Is there any signs of tightening in the supply chain?
Michael J. Long: Eric, would you like to take -- tackle that one?
Eric Schuck: Yes, so Steven, we haven't seen any material changes to the lead times. They all seem to be, as you pointed out, within historical norms. Given the fact that we don't expect or see any material changes in the economic conditions that we're dealing with, we wouldn't expect that to have any impact on capacities or lead times stretching. So at this point, it's essentially stable with what we've seen in the past.
Steven Bryant Fox - Cross Research LLC: Great. That's helpful. And then Paul, just another look at the gross margin question. It looks like relative to my numbers, which weren't too far off from the Street, you had a last-minute sort of $200 million, $225 million miss on the revenue line but you still managed to sort of beat gross profit dollars by $5 million to $10 million. So there was some kind swing factor on the dollar basis that must have been at least $20 million, $25 million, maybe $30 million. Was that upside that you were going to produce because of all the mix factors you talked about? Was there anything else you can sort of illustrate how that happened in terms of getting the better gross margin dollars?
Paul J. Reilly: Right. So I think you're looking at a revenue basis. The change on a billings basis was not that $200 million to $250 million number you quoted, it was more like in the $150 million range, that might impact your analysis because we are getting GP dollars off of those net sales, so that may impact it. So I would really say that when we looked at it, components came it a little bit stronger than we thought it would come in. And some of those sales that we got are replacing sales we missed on the ECS side.
Operator: Your next question comes from the line of Ananda Baruah with Brean Capital.
Ananda Baruah - Brean Capital LLC, Research Division: Mike, more of a clarification for you. Did I interpret your remarks correctly with regards to the distribution business to be -- IT distribution business to mean that you expect to make up the lost week of sales, for lack of a better term, through the course of the year?
Michael J. Long: Yes, that'd be our expectations.
Ananda Baruah - Brean Capital LLC, Research Division: And could you just, again, walk through the mechanics of what will be driving the makeup?
Michael J. Long: We think it's timing.
Ananda Baruah - Brean Capital LLC, Research Division: Got it. Got it. Is there anything, I guess now that you're almost exactly through the first month of the quarter, is there anything -- are you sort of ahead of where you would expect to be at this point in the quarter or you sort of coincident with it so is it a slower makeup or would you see -- would you expect to see it, I guess, over the next kind of 1 to 2 quarters?
Michael J. Long: Well, what we said was we saw a strong April. Andy, do you want to elaborate any more than the strong April?
Andrew S. Bryant: Yes, so, Ananda, I think, the first thing is April was a full 20 days compared to a 17-day January. So the actual business grew nicely on a whole-number basis. But it also grew on a per day basis. And so now we're heading into May, we've actually got 5 days of May to look at. So yes, we see making up some of this in the second quarter. As I talked about, you're going to see the way we close throughout the balance of the year, kind of roll some of our business quarter-to-quarter. But we should make it up.
Paul J. Reilly: Yes, if I could just put my spin on it also. If you look at the January to April trend for the last 4 or 5 years, April is usually up between 30% and 40% compared to January. We're more than 40% up in April compared to January. So whether it's a makeup, whether it's timing, directly aligned with Andy's comments about the number of shipping days. But when we look at the month of April, that's ahead of the normal April, January comparison that we've seen the last 4 years.
Ananda Baruah - Brean Capital LLC, Research Division: That's really helpful. I appreciate all that context. And I guess, just to follow-on with that, what are you seeing -- are you seeing any shift over the last kind of currently versus 3 months ago? And what you were expecting to be the meaningful influencers on the business? And it could be across product categories as well.
Michael J. Long: I think the only changes we saw were a benefit from our services, our software and our security business. And the nice thing we were able to see was with the reduction of servers, that those businesses kind of took over and really carried their weight. But again, we don't know that -- or believe that that's necessarily indicative of how the year will fall. We believe that servers and storage will come back, and it will be a decent year for IT.
Operator: Ladies and gentlemen, this concludes our question-and-answer session. I would now like to turn the call back over to Steve O'Brien for closing remarks.
Steven O’Brien: Thank you, Patrick. If you have any questions about the information presented today, feel free to contact me. Thank you for interest in Arrow Electronics. And have a nice day.
Operator: Ladies and gentlemen, that concludes today's conference. Thank you for your participation. You may now disconnect. Have a great day.